Operator: Good day, and thank you for standing by and welcome to the Q1 Fiscal 2022 Winnebago Industries Results Conference Call. I would now like to hand the conference over to your host today, Steve Stuber, Vice President of Investor Relations. Please go ahead. 
Steven Stuber: Thank you, Justin. Good morning, everyone and thank you for joining us today to discuss Winnebago Industries’ fiscal 2022 first quarter earnings results. I am joined today on the call by Michael Happe, President and Chief Executive Officer; and Bryan Hughes, Senior Vice President and Chief Financial Officer. This call is being broadcast live on our website at investor.wgo.net, and a replay of the call will be available on our website later today. The news release as well as our third quarter -- the news release with our third quarter results as well as the Q1 earnings supplement were issued and posted to our website earlier this morning.  Before we start, I'd like to remind you that certain statements made during today's conference call regarding Winnebago Industries and its operations may be considered forward-looking statements under securities laws. The company cautions you that forward-looking statements involve a number of risks and are inherently uncertain in a number of factors, many of which are beyond the company's control, could cause actual results to differ materially from these statements. These factors are identified in our SEC filings, which I encourage you to read. With that, I would now like to turn the call over to our President and CEO, Michael Happe. Mike?
Michael Happe: Thanks Steve. Good morning everyone and thank you for joining us today. As always we deeply appreciate your interest in Winnebago Industries and taking the time this morning to discuss our fiscal 2022 first quarter results. I will begin this morning with a discussion of the drivers of our performance for the quarter before turning it over to Bryan Hughes, our Chief Financial Officer who will discuss our financial results in more detail. Then I will offer some closing comments and thoughts before we turn to your questions.  Winnebago Industries started our fiscal 2022 year this past September by building on our sustained momentum and continuing to demonstrate the outsized growth and profitability, our expanded portfolio of premium outdoor lifestyle brands can deliver. Our golden threads of quality, service, and innovation continued to differentiate our premium brands propelling continued retail market share gains across the portfolio. The way in which consumers have increasingly embraced an excitement for the outdoor lifestyle remained a powerful tailwind driving demand for Winnebago Industries premium products whether on land or water. Winnebago Industries grew first quarter revenue 46% year-over-year including for the first time results from Barletta Boats. And revenues grew 38% on an organic basis excluding Barletta.  The strength of consumer demand for our products drove our RV performance ahead of the overall market resulting in further retail market share gains during the quarter. On a trailing three-month basis through October, our RV market share is 13.3%, 1.3 share points ahead of the same period last year. The catalyst continues to be our Grand Design RV brand which consistently delivers record results and outstanding support for our dealers and end consumers. Newmar branded diesel motor home share and Winnebago brand towables growth also contributed nicely.  In the marine segment Barletta continues to grow ahead of the pontoon market capturing 5.3% retail market share on a trailing three-month basis through October. One and half share points ahead of the same period last year. Our outstanding team and their commitment to operational excellence enabled us to deliver for consumers while simultaneously expanding our gross margin to an all-time high. Winnebago Industries delivered gross margin of 19.8% in the first quarter, a 250 basis point improvement versus last year. Our commitment to a make to confirmed dealer order business model across the enterprise and a highly effective enterprise wide strategic sourcing team were particularly helpful as we continued to navigate supply chain challenges and inflationary cost input pressures that we fully expect will be an ongoing reality during our fiscal 2022.  Before I continue I want to recognize the superb Winnebago Industries employee team. Now more than 7200 strong across our five brands, our employees have worked diligently to drive our continued momentum and provide the high quality products and exceptional service our customers and dealer partners have come to expect. They are collectively phenomenal.  Now in the face of record backlogs and working hard to replenish dealer inventories, our team's focus and drive remains a key contributor to Winnebago Industries and driving our market growth. We continue to believe that the accelerated demand for our products catalyzed by COVID-19 by bringing even more people into the outdoor lifestyle, and ultimately our premium brands is a lasting foundation to further build on. Recent RBIA survey data showed that an astounding 9.6 million additional households say they are considering buying an RV in the next five years combined with over 14 million households who have camped for the first time during 2020 and 2021.  Now we fully recognize that not all these potential customers will actually buy a recreational vehicle. But we do agree that future demand will be reasonably sustained at higher historical levels in large part because of consumer interest and participation in the outdoors being at all-time highs. Winnebago Industries is uniquely well positioned to continue to capture an outsized portion of the market's growth and deliver that value to our employees, communities, and shareholders as more families take to the great outdoors and enjoy the outdoor lifestyle.  Winnebago Industries continues to invest in the long-term appealing to the increasingly diverse number of consumers turning to the outdoors in both recreational vehicles and marine, providing a strong foundation for additional growth. As evidence of that, today we are reporting our marine segment for the first time consisting of our premium branded Chris-Craft and Barletta businesses. We are convicted in our intent to profitably grow this segment meaningfully in the years ahead.  As Bryan's remarks will outline in more detail, our marine segment is performing well and in line with the high expectations we have for Barletta. The results highlight the strength of the pontoon market and Barletta’s unique offering and strong brand affinity which has integrated smoothly into our portfolio and delivered on the high growth expectations we anticipated. Barletta extended our reach into one of the fastest growing boating segments, the pontoon category and we see tremendous opportunity to further leverage their unique product innovation, quality, dealer network, and service offering strengths to sustain retail market share growth. Barletta is delivering both an exciting growth platform and a natural fit with our broader portfolio of premium brands. Within our marine segment, Barletta is balanced by the iconic Chris-Craft brand which was our initial entree into marine and a truly strategic entity in our premium brand portfolio. Together they are enabling Winnebago Industries to capture more of the industrywide demand for the outdoor lifestyle and drive incremental growth.  Overall we see a meaningful runway for further growth across our portfolio as Winnebago Industries is well positioned to tap into the secular demand shift of consumers embracing the outdoor lifestyle. We are also investing significant energy and resources around emerging technologies and anticipate being an active innovator in the future as consumer demand for new technology application rises. I want to thank our world class team, our dedicated dealer network, and supply partners for their ongoing hard work and strong execution. With that opening summary I will now turn the call over to our Chief Financial Officer, Bryan Hughes to review our fiscal 2022 first quarter financials in more detail. Bryan. 
Bryan Hughes: Thanks Mike and good morning everyone. First quarter record level consolidated revenues including results for Barletta were 1.2 billion reflecting an increase of 46% compared to 793.1 million for the fiscal 2021 period. Excluding Barletta’s performance, our organic growth for fiscal 2022 Q1 was 38%. Our growth was driven by continued strong end consumer demand for our premium branded products and pricing initiatives.  We delivered another period of very strong profitability in the first quarter of fiscal 2022. Gross profit was 229.4 million representing an increase of 67% compared to 137 million for the fiscal 2021 period. Gross profit margin increased 250 basis points in the quarter to a record 19.8% driven by pricing, productivity initiatives, operating leverage, and RV segment mix partially offset by higher material and component costs. Operating income was 146.4 million for the quarter, an increase of 72% compared to 85 million for the first quarter of last year. Note that our first quarter operating income includes 3.4 million in acquisition related costs and 4.6 million of incremental amortization of intangible assets related to the Barletta acquisition. Fiscal 2022, first quarter net income was 99.6 million, an increase of 74% compared to 57.4 million in the prior year quarter. Note that fiscal 2022 net income includes 6.4 million of contingent consideration fair value adjustment, which is included in non-operating income related to the earn out included in the deal structure associated with the Barletta acquisition.  Reported earnings per diluted share with a record $2.90 compared to reported earnings per diluted share of $1.70 in the same period last year. Adjusted earnings per diluted share was a record $3.51, an increase of 97% compared to adjusted earnings per diluted share of $1.78 in the same period last year. Consolidated adjusted EBITDA was 167.2 million for the quarter, compared to 89.3 million last year, which represents an increase of 87% driven by higher revenues, pricing intended in part to cover current and anticipated higher material and component costs, and productivity initiatives.  Now I'll turn to our segment performance, which includes the new marine segment comprised of Barletta and Chris-Craft, we will start with the towable segment. Towable segment revenues for the first quarter were 651 million, up 43% from 454.9 million in the prior year, driven by strong continued end consumer demand and pricing actions. Segment adjusted EBITDA was 112.1 million, up 78% over the prior year period. Adjusted EBITDA margin of 17.2% increased 330 basis points, primarily due to pricing ahead of anticipated material and component cost inflation and operating leverage.  Next, let's turn to our motorhome segment. In the first quarter revenues for the motor home segment were 421.5 million up 31% from the prior year, driven by strong end consumer demand, particularly in Class B and Class A products and pricing actions. Segment adjusted EBITDA was 50.2 million up 65% from the prior year. Adjusted EBITDA margin was a robust 11.9% and increased 250 basis points over last year, and 70 basis points sequentially driven by operating leverage, pricing and productivity initiatives, partially offset by material and component cost inflation.  Finally, let's turn to our marine segment. In the first quarter revenues for the marine segment were 79.3 million, up 67.4 million or 567% driven primarily by the addition of Barletta. Excluding results from Barletta Boats, marine revenues increased 19% from the first quarter of fiscal 2021. As communicated during the course of acquiring Barletta, Barletta’s margin profile is accretive to the company. Marine segment adjusted EBITDA of 10.6 million was 9.7 million higher than the same period last year, and adjusted EBITDA margin was 13.3%, 610 basis points higher than the 7.2% recorded last year.  Turning to the balance sheet, as of November 27, 2022 the company had outstanding debt of 532.7 million comprised of 600 million of debt net of convertible note discount of 56.7 million and the debt issuance costs of 10.5 million. The company also had working capital of 502.5 million and cash flow from operations of 56.5 million, which compared favorably to last year's cash outflow of 2.7 million and was achieved despite continued supply chain constraints, causing disruptions to material flow and fluctuating inventory levels. We continue to maintain a very healthy liquidity position. At the close of our fiscal quarter we had liquidity of approximately 404 million, including an untapped ABL of 192.5 million During the first quarter we completed the Barletta acquisition, reinvested back in our businesses, our first capital allocation priority, and we returned approximately 26 million to shareholders through dividends and share repurchases. And finally, as noted earlier, we recorded higher intangible amortization expenses quarter of 4.6 million due to amortization associated with the Barletta acquisition. Assuming a steady state business where no additional acquisitions are consummated, intangible amortization expense for both Q2 and Q3 is currently anticipated to be 8 million and 5.2 million for Q4. That concludes my review of our quarterly financials. With that I will now turn the call back to Mike to provide some closing comments. Mike, back to you.
Michael Happe: Thanks very much, Bryan. Looking beyond our strong financial performance during the quarter, I want to take a few minutes to highlight progress in another area of our business that is central to our overall success, corporate responsibility. As I briefly mentioned during our last earnings call, we continued to build on our track record of initiatives that positively impact our communities during the first quarter. At the end of August, we mobilized resources through our Winnebago Industries Foundation, to support natural disaster relief and employee hardship. And more recently announced dependent scholarship programs for our employees families. We have taken it upon ourselves to ensure we do everything in our power to help because we understand that we are stronger together. In that spirit, the year round go-together fund we launched is intended to be available for any of our employees if they're impacted by a natural or personal disaster in the future.  Additionally, in October, we announced that we are joining business ambition for 1.5 Degrees Celsius, a campaign led by the science based targets initiative in partnership with the UN Global Compact, and the We Mean Business coalition. In joining the project, we set a goal for ourselves to achieve net zero greenhouse emissions by 2050. And committed to setting a science based target through the science based targets initiative. We also announced important targets on water usage, waste reduction, and overall product lifecycle and sustainability composition. As an outdoor lifestyle company, we recognize the importance of protecting our outdoor destinations, so that they can be enjoyed for generations to come.  On December 10th, we published our Third Annual 2021 Corporate Responsibility Report, which outlines our progress over the last year in this area and so many more. The report details all the ways we are advancing environmental, social, and governance initiatives across our organization in alignment with widely accepted ESG reporting frameworks, and UN Sustainable Development Goals. The initiatives are fully integrated with our enterprise strategy and we take pride in our ability to consistently apply them in our normal course interactions with all our important stakeholders. These tenants will remain central to our business and will continue to support our commitment to be great outdoors.  Now turning to our outlook for the rest of fiscal 2022. Looking at the RV industry at a macro level, we anticipate consumer demand to remain elevated compared to pre-pandemic levels. We are aligned with RBIA’s prediction of over 600,000 wholesale shipments for calendar 2022. But we will be monitoring closely the retail demand rhythm as the industry works to replenish low levels of dealer inventory. However, we as one OEM in the RV industry will be working very closely with all our brands to responsibly produce and ship products. Our dealers deserve ample margins and high returns as well and our production strategies influence that outcome.  While we anticipate the supply chain constraints and inflation to continue, we have found a good cadence in working closely with our suppliers to mitigate the impact as much as possible. Most importantly, we will continue to match our production levels with confirmed dealer orders. This enterprise wide mandate is an important part of our business model, and is especially important as the industry works to replenish but not overdrive dealer inventory levels. We continue to believe RV industry retail in our fiscal 2022 period will be at its second highest level, only behind our fiscal 2021 cycle. We fully expect Winnebago Industries portfolio to continue gaining retail market share in the RV market behind our steadfast commitments to quality, service, and innovation. Additionally, we will also continue integrating and realizing the full potential of Barletta’s premier products and expect the brand to further gain retail market share, as that market for pontoon boats remains at near record levels. In short, we are relentlessly focused on sound execution of our winning strategy to build on our strong momentum. That concludes our prepared remarks this morning. I would like to wish each of you on the call, our dealer and supplier partners, our end customers, and especially our employees and their families a safe and happy holiday season. I will now turn it back over to the operator for the Q&A session. Thank you very much for your time this morning.
Operator: [Operator Instructions]. And our first question comes from Craig Kennison from Baird. Your line is now open. 
Craig Kennison: Hey, good morning. Thanks for taking my question. Lots to talk about but really impressive gross margin in the quarter. And really over the last four quarters you've sustained over 18% gross margin, you've added Barletta which seems to be higher margin. Is there any way to frame what you think of as the structural new gross margin level for this business, once like discounting normalizes and the environment normalizes with more inventory in the channel?
Michael Happe: Good morning, Craig, this is Mike. We certainly are pleased with the financial performance of the company over a very tumultuous period here, the last four to candidly six or seven quarters. And yes, we have been able to consistently reach levels of profitability during the past year that have been historically higher and that we are pleased with. It is difficult to fully predict the different curveballs which could affect the business in the future concerning inflation or supply chain disruption, and we certainly recognize many have questions about the sustainability of our profit profile. I can just tell you organically, that we come to work every day, working to do our best to earn a premium price in the market through our dealers with our end-consumers and we work internally to continue to transform the business to be as efficient as possible, so that we can manage the costs within the business.  We also continue to change the profile of the company from an overall portfolio standpoint. And in the course of the last 25 months now as we sit here today, we've added two important businesses in Newmar and then as you mentioned Barletta. And we anticipate over the next several years that we will continue to manage the portfolio profile, so that we give ourselves the best chance to continue to improve and maintain the profitability of the company going forward. But I will turn it over to Bryan Hughes for any comments in the near-term on some of the structural dynamics happening.
Bryan Hughes: Yeah, I guess Mike the comments that I would add are first and foremost, we have talked for some time, Craig about the product portfolio being the primary driver of margins long-term. The innovation that we intend to bring, the quality differentiation that we very much intend to bring and continue to bring, and then the post-sale service that our products are intended to be supported by. So that's the most important thing for our long-term margin profile. Certainly when we price, we do so with cost inputs and inflationary pressures in mind. But even more so we price to the marketplace and what we think the market will support for our innovation, our quality, and our service. We've also, as we've talked about in the past, pursued productivity initiatives, we believe those have been a meaningful contributor to our businesses. We've talked historically about motorhome but I don't also want to undersell the things that the towables business has done over time as well to get more out of their existing facilities, increase their output, their throughput, and they've done a phenomenal job at that. And that is reflected certainly in the margins that we saw in Q1, and the elevated margins, frankly, that we've seen in the towable segment historically.  So I know there's a lot of open questions about gosh, looking forward, is there going to be headwinds from marketplace dynamics, from cost inflation? Well sure, there's going to be headwinds. My point is that we're going to continue to fight those headwinds with tailwinds and the things that we have done historically and will continue to pursue. Mike and I believe that there is more to be done in our business to capture the opportunity and we need to continue to do that obviously. Our internal expectations are for elevated margins relative to others you may see in the industry, reflected by innovation, quality and service, great product out in the marketplace. 
Craig Kennison: Yeah, thanks a lot. I appreciate that. I think the market is trying to value your business in a post pandemic way, assuming post pandemic volume and post pandemic margin. So any input you can share with respect to those variables, I think would be helpful clearly, with your stock trading where it's at today, people are using pretty low numbers for those inputs, so anything you can provide is helpful? Meanwhile, on the buyback, it looks like you were active in the quarter. Maybe just comment on your capital allocation priorities and whether you would still elevate buybacks versus other priorities in this environment? 
Michael Happe: Yeah, thanks, Greg, for that question. Our priority continues to be growth. We have opportunity to invest in the business organically. We've talked about some of the things that we're doing to expand our capacity. You see elevated CapEx in our Q1 versus last year and versus our run rate quarterly as a result of those investments. That remains a priority for us, especially in the environment that we're in and the market share accretion that we are realizing. We also have every intention of continuing to grow our business inorganically. We have stated that many times strategically so that growth remains our first priority. We've continued to ensure our liquidity is in a good spot. We had a leverage ratio of 0.7 at the end of the quarter that reflects the Barletta acquisition, it is continuing to be underneath our long range target of 0.9 to 1.5. But maintaining that balance sheet health is also a priority.  And then lastly, but certainly not the least of our priorities, I would say is returning cash to shareholders. We've increased our dividend notably, since the prior year, 50% increase. We also to your point of your question, we have recently received authorization from our Board for a $200 million share repurchase program, which we took advantage of. And frankly, we'd like to have that opportunity to return cash to shareholders through the share repurchase program. We did it at an elevated level in Q1 and we'll continue to utilize that as a means of generating return of cash to our shareholders going forward. It will certainly depend on the other priorities, the growth initiatives in particular, and what the current environment enables for us in that regard, but we'll continue to use the share repurchase program as another means.
Craig Kennison: Thank you. 
Operator: And thank you. And our next question comes from Gerrick Johnson from BMO Capital Markets. Your line is now open. 
Gerrick Johnson: Hey, good morning. I was kind of interested in the accessibility enhanced portfolio you had in my mind, probably a growing category over time. The Adventurer AE is about $60,000 to $65,000 more expensive on a wholesale level than the base Adventurer. What kind of incremental margins do you get in that accessibility enhanced business? And maybe also if you could talk about margins and commercial? 
Michael Happe: Yeah, good morning, Gerrick. This is Mike. We are working on increasing both the size, but also the profitability of our accessibility enhanced line. And, as you mentioned, that continues to grow with the Adventurer Class A but also here recently a really neat Class B product called the Roam that we have been showing at some of the trade events around that particular market. We're not going to share specific margins within the specialty vehicle business but I can only assure you that the expectations for that business from a profitability standpoint, especially in the long term as it grows, is to be accretive to the overall profile of the company. And that is largely because as Bryan indicated in his prior comments, we truly believe that we can create innovative solutions for consumers with especially physical disabilities, to be able to reach and participate and enjoy the outdoors.  We have stated in the past that we believe there are millions, several millions of consumers that have an interest in the recreational vehicle lifestyle, but have not been able to find the exact right product that allows them to safely and effectively engage in the outdoors. And our specialty vehicles team, amongst many other market strategies they're exploring continues to expand that accessibility enhanced product line. So we do anticipate over time that especially with scale that it will be accretive to the portfolio. I will just remind you and other investors listening to the call that it is currently a financially immaterial part of the portfolio, strategically important currently, but one we intend to continue to invest in.
Gerrick Johnson: Great, thank you, Mike. 
Operator: And thank you. And our next question comes from Scott Stember from CL King. Your line is now open. 
Scott Stember: Good morning, guys. And thanks for taking my questions. Mike, you talked about at least from a supply chain that you've found, I guess a reasonable spot to be in right now which I guess implies that things have improved modestly. Can you maybe talk about that on the supply chain side and just from a production standpoint, your views on when the dealer channel will get back to be where it needs to be?
Michael Happe: Good morning, Scott and thank you for the questions. I'll start with the health of the supply chain and our point of view on that. Certainly from a macro output level, the supply chain continues to improve, otherwise you would not have seen in the example of the recreational vehicle industry several months in a row now of record RV shipments. The challenge with the supply chain continues to be its inconsistency on almost a daily and clearly a weekly basis. And so we continue to battle within all of our businesses, regular disruptions in many different materials in companies. So we would certainly state that it's healing in quantity. It is not all that much different in the consistency of delivery, and we also worry very much about the quality and have processes in place to work with our suppliers to try to maintain a high level of quality. And our teams, as we have stated in our prepared comments, we think have done as good a job if not better than many of our competitive peers in continuing to navigate that. But that drama is not over by any means, as we enter calendar 2022.  Your second question had to do with the field inventory levels, and we would talk about it in this way, you have to look at field inventory normalization in the context of several elements. One we will just take category. The category that is most quickly progressing towards normalization, in terms of inventory returns is the recreational vehicle towable space. We are seeing a meaningful increase in travel trailers and even fifth wheels being supplied to the dealer channel, both during one year comps, but also in a two year comp factor. So that's the category that will probably reach the level that dealers aspire to have sooner than everything else. The second category would be the motorhome category, that will happen later, than the towables category, the turns are higher currently. Production output is lower than on the towable side. And so that will be -- that will take longer.  And the last category I would point out that we believe will take the longest is the boat category. Pontoons and the luxury runner routes from a fiberglass standpoint that we're in. So the supply chain retail and dealer’s appetite for where their forward looking turns will be all factor into the pace and timing. And so I just would ask us all to make sure that when people say, are we nearing inventory normalization, that we think about it in a more nuanced setting than in just sort of a peanut butter spread context going forward. We believe there continues to be, especially against two-year forward-looking turn targets, we think there continues to be ample runway in several of our categories to continue to provide dealers with the product that they are asking for.
Scott Stember: Got it. And then just a quick last question, looking at your backlog in towables and in motorized, seems to be some pretty big implied ASP growth there. Can you talk about is that future price increases related to your anticipation of I don't know, raw materials going up or maybe just talk about that dynamic little?
Bryan Hughes: Yeah, so we have seen a rise in backlogs. And I know many people ask questions about that and wonder about the integrity of that. Again, not all companies measure backlogs the same way. Our backlogs are intended to reflect orders from dealers that we can confirm our desire to be delivered within a six-month period. I routinely tell people that the front half of that backlog probably has more validity and integrity as it relates to future production planning purposes. And the back half of the backlog is probably a little bit more fluid in its dynamic context in terms of future reliability. But as you also indicated, you can also see some of the pricing power that we've had via the value of the backlog and we've talked routinely, Scott that, our price increases on a year-over-year basis within our portfolio probably range anywhere from 8% to 30%, depending on the brand or the product category. And so I think you do see that reflected in the backlogs in terms of sort of the wholesale value of the dollar backlog.  I will tell you candidly that backlogs are not always the best reflection of the health of a business. And in fact, it would be my desire over time to probably see our backlog get a little skinnier because that means that we're probably moving the operational model to a more just in time better deliver a product to the dealer state. But we recognize that people think bigger is greater. But we continue to focus on sort of the integrity of the backlog and giving dealers exactly the products that they're asking for, and not too much.
Scott Stember: Got it, that was very helpful. Thank you.
Operator: Thank you. And our next question comes from Mike Swartz from Truist Securities. Your line is now open. 
Michael Swartz: Hey, good morning guys. Maybe just starting off with Mike, you've made comments around just your production philosophy and not wanting to load the channel up with too much inventory, but can you talk about, I mean, just looking at the quarter, looking at the industry production, your production, it looks like you under shipped relative to the industry. Are you seeing or do you believe that's having any impact on near-term share opportunities or share gain in the market, i.e. could it be larger than what you're -- what you cited earlier in the call?
Michael Happe: Yeah. Good morning, Mike. Thanks for the question. A couple of thoughts there, one is and we've stated this before that there's probably a timing correlation between shipment share and retail share that says close together as has been the case for many years. We have been really focused on retail market share both in terms of units, but also in terms of dollars. The retail market share percentage that we share on a regular basis via these earnings calls is a unit number. I would contend that our dollar market share at retail is higher than the 13.3% that we share today. So we are very focused on retail market share and we understand that there is some relevance between shipment share and retail share. But we are focused on making sure our dealers have the right mix and inventory of product that they need to sell to optimize retail. We do believe that this spring especially when retail starts to pop again seasonally, especially down in the south and then gradually towards the north, that the increased amount of new unit inventory on dealer's loss is going to have a beneficial impact to retail velocity compared to a period a year prior where they had a lot less inventory. So we certainly have to keep an eye on the relation between ship and share and retail market share. But we believe that we can accomplish our retail market share goals by operating a disciplined production and shipment model. And subsequently that's why you don't see us talk a lot about shipment share in our earnings results because, it's not the most important metric that we operate the business with.
Michael Swartz: Okay. That's helpful. And then maybe a question for Bryan, just going back to Craig's question on gross margin, sustainability. I mean, when we look at the quarter, you did nearly 20% gross margin in the prior four quarters so you were doing something between call it 17% and 18%. I mean, should we look at that increment in the first quarter as the impact from taking some of the pricing ahead of cost inflation or are there other dynamics there that we need to better or think about?
Bryan Hughes: Yeah, there's so much in place there Mike or so much in play rather that to call out one specific item, I don't know that that would be the right way to convey what happened in the quarter. Certainly we called out the segment mix, we did call out the pricing, we mentioned in one case or in the case of the towable segment that it was for the cost increases we were seeing in the quarter, but also anticipating to hit in the future. Look, what I hesitate to convey is some sort of expectation that the margins are going to come down because that's just not the way we are running the business right now. The way we are running the business is to optimize our margins and as I mentioned earlier with Craig, we're applying after the opportunity or the tailwinds aggressively, and we expect that those tailwinds will do a nice job of offsetting potential headwinds. And that's the way we're going to continue to run the business. So I think that's the only thing that I would call out.
Michael Swartz: Okay, great. Thanks. 
Operator: Thank you. And our next question comes from Brett Andress from KeyBanc. Your line is now open. 
Brett Andress: Hey, good morning guys. Just a question on restocking and towables, so you built 5,000 units this quarter I think, another 5,000 would kind of get you back to pre-pandemic levels and maybe you need a little bit more than that to get turns in line, but it would get you close. So I guess, how do you think about price in that context, I mean how much price can you hold with a normal level of channel inventory, and I guess presumably a normal level of discounting that comes with that?
Michael Happe: Yeah. Good morning, Brett. So we strive to balance pricing power and market share progression. And so, all of our businesses have pricing decision authority within their business with certainly some oversight as needed from Bryan or I, but the direction from the enterprise is to balance as Bryan says, margin optimization, but to do it in terms of retail share progression. I did mention that the towables category is certainly a category that has been refilling arguably faster than the other categories. Now candidly, I would contend that perhaps the two largest companies in the towable space in the industry are leading the charge as Mike's question indicated on shipment share in refilling the dealer channel. Our turns from a backward looking standpoint for our towables dealer inventory are certainly meaningfully elevated versus a couple years ago. And the combination of market share growth, dealer expansion, new products, we really look at turns from a forward-looking standpoint internally in order to work with the dealers to get them to the levels that want to run their business with. We believe dealers are going to want to both sustain the margins they have been making and to sustain some higher turn rate than what they were doing pre-COVID. And I think if you've talked to some especially the larger dealers here recently, they would validate that. When inventory normalizes in the market, whatever that means and some level of pricing, competitiveness, returns in the market at a higher level, our dealer partners will have the first decision to make about how to deal with that in terms of their retail pricing decisions. And their strategies will ultimately then determine what we would do in the future and, whether we would participate in any of that discounting or promotional pressure. We are not seeing significant promotional or discounting pressure from our dealers on any of our outdoor brands currently. So, we will continue to monitor for that and be prepared to engage in that conversation. But that day has not arrived yet within our business.
Brett Andress: Got it. Okay. And then and I think earlier you mentioned or you phrased it as monitoring the demand rhythm, right. So, maybe if you could elaborate on that a little bit more, I guess you have different expectations for the rate of retail growth that we're seeing here this off season, I'm talking about growth compared to 2019 versus maybe what you expect to see in the selling season, just any elaboration on that rhythm comment?
Michael Happe: So, yeah, so our growth versus two years ago and pretty soon here 2019 will turn into 2020 from a two-year comp standpoint. But our growth versus 2019 for our brands in the RV space especially has been consistently positive. It has slowed like the rest of the industry has, but we have been consistently positive. One of the biggest factors to the unpredictability of future retail is the impact of dealers having the inventory that consumers were looking for a year or two ago, especially a year ago and couldn't see to make a buying decision or to buy something in a timeframe that was reasonable. Many of the dealer principles that we speak with have some level of confidence that as inventory continues to increase on their lots and in their showrooms that their retail prospects have a probability of being stronger going forward. And so for us, we will be especially monitoring what begins to happen in February, March and April of 2022. And there are a lot of factors obviously that can impact overall retail demand, but we will especially be monitoring sort of the seasonal retail bounce in Spring of 2022, to see what that means in terms of whether we can continue to build inventory in the market, or we will begin to borrow again at some point, especially in late spring and early summer.  So there's a lot of unknowns, but we -- I usually tease you all on this call by making the following comment. When I look at the retail for our brands in the RV space for week ending December 11th, we had extremely strong comps on a two-year level. They were stronger the week of December ending December 11th than they were probably a month prior. So we've actually seen a little bit of a rebound here in two-year comp retail on our reports. So it's an extremely dynamic marketplace and that's subsequently one of the reasons why we can't always predict timing of any field inventory normalization specifically, nor do we -- nor can we anticipate specifically when you might start to see some of that price competition at retail return to the market.
Brett Andress: Got it. Thank you.
Operator: Thank you. And our next question from Fred Wightman from Wolfe Research. Your line is now open.
Frederick Wightman: Hey guys, good morning. A lot of questions on sort of retail and wholesale, but I guess simplistically, when you look at the RV ecosystem, do you think that dealers, manufacturers and suppliers can all have higher post COVID margins?
Bryan Hughes: Good morning, Fred. Thanks for the question. I would hope that would be the case. I mean, we will see if that happens. I think some of that will be determined by the candid -- candidly, the business decisions, individual firms and organizations make for themselves. But, certainly this is an industry, especially on the recreational vehicle side that has been extremely competitive from a gross margin standpoint for many years. And the industry by and large has done a good job of keeping the retail prices of our products affordable for people to enter the lifestyle. So there will be this natural tension between volume and affordability and a higher level of profitable health. We have always maintained in our business model that the profitability of the dealer is extremely important to us. And we want our brands on the dealer’s lots to be some of the most profitable brands that they do business with, so that they can continue to reinvest in the business.  So I personally have implored or had conversations with several dealer principles about them trying to do everything they can to maintain margins and maintain a higher turn rate as we get further and further away from sort of this pre-COVID or the start of the COVID era. And so we will see, but I do believe many dealers are going to fight extremely hard to maintain margins.
Frederick Wightman: That makes sense. That's super helpful. Just one follow-up on sort of the supply chain comments. It sounds like that's getting better, but any improvement on the chassis side, I know that it sounds like travel trailers and towables are going to improve before motor homes, but I know last quarter you decided the chassis is sort of the big bottleneck. So, any improvement there, any line aside to that getting better or should we expect that to be sort of the big constriction here near term?
Michael Happe: Yeah. Thanks for the question on chassis, two comments there. One is, semiconductor chips continue to be a meaningful constraint within the motorized chassis category. Uh, we've seen a little bit of improvement of that here in late, in our fiscal 2021 year. But we anticipate meaningful constraints to continue to run through most of 2022, probably at least through quarter three of fiscal 2022. We are very pleased with what's happened here in the last two financial quarters with our Newmar business. And while we don't break out specific brand results financially, I can tell you that our Newmar business has really performed nicely in terms of output and working their way through some of the supply chain constraints, that they were facing a year or so ago. So, that business in particular is not seeing a ton of impact from chassis constraints. They are seeing some challenges with different types of components or systems that go into their products. But yes, motorized will continue to battle the semiconductor chip challenge for probably, as I said, much of 2022.
Frederick Wightman: Great. Thanks guys.
Operator: And thank you. And our next question comes from Bret Jordan from Jeffries. Your line is now open. 
Bret Jordan: Hey, good morning guys. 
Michael Happe: Good morning. 
Bret Jordan: Another supply chain question, but could you talk about the marine segment and I guess power availability, you mentioned that marine would be restocked last of the three, is that because you've seen more presales and you're just shipping for retail or because there's a greater supply chain hold up there?
Michael Happe: Yeah, Bret good morning. Thanks for the question. Again, our peers at Brunswick and Malibu and Mastercraft may be in a better position to answer this from a volume perspective in the marine category. But, our businesses have been working very closely with the engine/motor manufacturers within the industry to ensure reliable supply. One of the motor engine manufacturers has probably done a better job than another one for both of our brands. But we are in daily contact through those brands, with those engine suppliers, with the forecasts of what we need. But, the only other comment I'll make there is that because of the engine supplier constraints that we've seen in the marine business, we've had to adjust some of our go to market strategies and production strategies to better fit with what engines are available by brand. So it has been tight. As I've said, it's been exceptionally tight on one of the brands and the other brand has -- engine brand has worked really hard to supply us with engines in a reliable fashion. And for that we're grateful. But we've had to modify some of our go to market strategies because of that. We hope that it improves in 2022 and we'll see if it does. But, in addition to engines there are definitely a plethora of other categories that we've struggled through. Some of them similar to the RV industry like furniture, but some of them at times are more unique in terms of marine specific components. But, again I think the inventory levels in the marine industry, again, depending on the category are broadly a little bit lower than the RV industry. The other thing I'll just comment in that sense is that Barletta is just a significant growth opportunity for us. And, while Barletta’s dealer inventories today are higher than they were a year ago, they're not where we want them to be in order to reach our market share targets that we have for the future of that business. And, we are as we do in our other businesses, we have a book of confirmed dealer orders that the Barletta team is in a busy fashion trying to produce product for us. 
Bret Jordan: Okay, and then one question, I guess, on RV pricing, and then maybe it's sort of a fuzzy question, but when you think about higher prices on an absolute basis, as well as less discounting off of MSRP at the dealership, do you have a feeling for what the real inflation and RV prices were in 2021? And I guess maybe you have an outlook for 2022, maybe more discounting as inventory rebuilds, but how do you think the rate of inflation is for the retail transaction?
Bryan Hughes: Well, certainly the rate of inflation at retail's probably higher than the numbers I gave you earlier at times, because I was referencing more wholesale inflation in terms of our prices to our dealers. So when I said there was a, a range of probably 8% to 30% within our portfolio. You can probably layer several points on top of that for retail inflation, as dealers have been able to get in many cases a full retail inflation as inventory has been limited, as dealers have been able to get, you know, in, in many cases, uh, full retail as inventory has been limited. So I don't want to quote any numbers because, pricing does vary by dealer. We don't set that final retail price, that's really the decision by the dealer. But you can probably take the numbers I gave you and add a little pad to that to try to get to a retail inflation number. And again, it varies by category and it varies by brand.
Bret Jordan: Great. Thank you. 
Operator: Thank you. And our next question comes from David Whiston for Morningstar. Your line is now open. 
David Whiston: Thanks. Good morning. Another aspect to supply chains is it can be labor shortages. I was just curious if either you guys or, uh, upstream, are you having any labor shortages at your suppliers?
Bryan Hughes: So I can't speak as articulately to the supply base. I mean, certainly our supplier let us know that, you know, they are battling, uh, you know, labor challenges. Um, but, but that, isn't always the primary reason for why perhaps they haven't been able to, um, deliver us something. Uh, and we also have to remember as I think we're all acutely aware here recently, that we're still in the midst of a pandemic and the newest variant Omicron is something I think all of us in business are watching and trying to manage. Our businesses every day are challenged by labor in terms of making sure that we have the people we need, either because of COVID or just gross numbers to continue to build our future targets. So it isn't getting any easier David, but we do not list it today, as an extreme constraint to our ability to grow in the businesses or industries that we compete in today. Now we do have manufacturing facilities in some rural counties; in Iowa and Indiana, that we have some talent, uh, you know, pools to draw from. And in many cases there, we work with, you know, the, the local, uh, you know, development organizations to try to, you know, attract people, uh, to our industry and to that geographic area. But I can tell you in some of the larger markets, like where Chris craft is in Sarasota, uh, you know, we, we do not have as many people as we'd like to have, uh, there either. So it is a constant, it has represented a slight inflationary pressure too internally, as certainly we have to compete for that labor at a higher wage and we are committed to fair wages, but our businesses continue to figure out ways to be more productive with the people that we can get and consequently deliver great product.
David Whiston: Okay, thanks. And on Chris-Craft in particular, I was just curious, are those customers interested at all in zero emission boating and do you see boating about to go into any kind of big zero emission product cycle?
Michael Happe: I would say that we have customers across the outdoor segments we compete in that are interested in alternate power technology or zero emissions technology. And so it's not just those highly affluent customers that you would see that would buy a Chris-Craft brand. The marine industry is absolutely, engaging in emerging technology work, to try to bring more efficient power propulsion to that industry. But that's also the same in the automotive and the recreational vehicle industry as well. So, I truly believe that over the course of the next 3 to 5 to 10 years in the outdoor industries that we compete in, that the power platforms that many of our products use, will be evolving pretty meaningfully and our company will do everything we can to be a leader, and highly competitive when that happens. So yes, we are seeing some of that new development beginning to happen. But we believe it's not specific to the Chris-Craft brand. It'll affect all of our businesses and brands over time.
David Whiston: Okay. And, can you just speak briefly what the $4 million litigation charge is for?
Michael Happe: Well, let me make a comment on that, and then I'll ask Bryan if he has anything to add. This, was an event that occurred several years ago in our bid business related to some of our business development activities and a point of contention that obviously found its way into the legal system. That is a process that still is active, but one that we had to make a financial entry for in this latest quarter. We're not going to share a lot of details about it. But it certainly is something that we had to book in this quarter because of the progress of the legal process.
Bryan Hughes: Yeah. To take that one step further. So we received an adverse judgment that we do not agree with, and we have appealed the full amount of the judgment has been reserved in this quarter, which could ultimately be left if we prevail on appeal.
David Whiston: Okay, great. That's helpful. Thank you. 
Operator: And thank you. And our next question comes from Joe Altobello from Raymond James. You line is now open.
Joseph Altobello: Thanks, hey guys. Good morning. Appreciate it. Most of my questions have been asked and answered, but I did want to go back to the topic of dealer inventory. And it sounds like Mike you still thinking it's going to take probably a couple years before things to normalize call it late your fiscal 2023. If my math is right over the last call it four years, you retailers outstrip wholesale by about 160,000 units in the industry. And, if we don't get back to normal turn levels and turns remain elevated, what's the number of units that you think we need to over ship over the next call it a couple years to get back to normalization. Is it half of that, is it 100,000 units for example. 
Michael Happe: Yeah. Good morning, Joe. I would like to clarify the first part of your question in this sense. I don't think I stated a specific timeline for when some of these categories would reach a macro level that the dealers are comfortable with. I do believe the towables category well will be first to normalize, that will not take a couple years, that will happen much more quickly than that. But then motorized and boats will follow. And again, there are a lot of variables to this. But I do not believe it'll take probably till the end of our fiscal 2023 year for all of that to happen. Some of that will certainly happen sooner and possibly some of it still here in this fiscal 2022 year, especially on towables.  With all due respect, I'd like to not get into specific numbers of, from an industry standpoint of how much I think would need to be refilled within a certain timeframe. And part of that is because, candidly, we have about 13% of the RV market. And so I can't speak with any confidence on the intent or the practices, or the capacity of some of our larger competitors who candidly are dictating the pace and the quantity of field inventory in a higher more meaningful way than even we are. So that may be a bit question for some of our -- some of our larger competitors.  Again, we're going to be very focused on trying not to over produce to our detriment or the dealer's detriment. Everything we make on the product line will either have a retail customer's name or a dealer's name on it that they want, and we will be looking for those canaries in the coal mine that signal that dealers are starting to resist any excess product that they have on order. We do not want to have any open inventory on our lots, that forces us to go to the dealers to beg them to take at a discount. That is a business practice that we used to do in some of our businesses that we are trying to get away from. So that's what I'll just comment on for your question.
Joseph Altobello: No, it's definitely a fair point. Can you talk about fiscal 2023 in the past. I wasn't sure if there was any change there. I guess one question on marine, that business is obviously still supply chain constrained, is the Q1 unit number a good run rate for fiscal 2022 or should we assume that steps up over the balance of the year?
Michael Happe: Specifically, Joe on the marine reporting segment? I would say we saw good production from Barletta and Chris-Craft during our quarterly first year. But I would not suggest that both those businesses were so efficient and productive, that that's all they could do. So each quarter is a little bit different because of holidays and the weeks off we give to our employees. So, I mean, I think it's directionally, a good number. But I, wouldn't suggest that it won't be different either, uh, either because of seasonality from a plant standpoint or because the businesses have a supply chain or productivity, gains that allow them to produce at higher levels. So, we're pleased, especially with the first three months that Barletta has been in the portfolio and, uh, that team is engaged. The integration process is going well, and the business is performing every bit as well as we had hoped. And so we're very excited and optimistic about that brand's future within the marine industry and especially our portfolio.
Michael Happe: Yeah. And Joe, it's got, great market share trends as well. It was one of the things that attracted us to that business, and we certainly expect continued market share accretion too.
Joseph Altobello: Got it. Thank you guys. Happy holidays.
Michael Happe: Same to you, Joe.
Operator: Thank you. And I am showing no further questions. I would now like to turn the call back to Steve Stuber for closing remarks.
Steven Stuber: Thank you, Justin. And thank you everyone for joining our call today. Happy holidays from all of us here at Winnebago Industries. And as Mike mentioned, please have a safe and happy holiday season. Have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.